Operator: Good day, ladies and gentlemen, and welcome to the Data Storage Corporation Third Quarter 2022 Conference Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, [indiscernible]. Ma'am, the floor is yours.
Unidentified Company Representative: Thank you. Good morning, everyone and welcome to Data Storage Corporation's 2022 third quarter ended September 30, 2022 business update conference call. On the call with us this morning are Chuck Piluso, Chairman and Chief Executive Officer; and Chris Panagiotakos, Chief Financial Officer. The company issued a press release this morning containing third quarter 2022 financial results, which is also posted on the Company's website. If you have any questions after the call or would like any additional information about the Company, please contact Crescendo Communications at 212-671-1020. Before we begin, I'd like to remind listeners that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended that are intended to be covered by the Safe Harbor created thereby. Forward-looking statements are subject to risks and uncertainties that could cause actual results, performance or achievements to differ materially from any future results, performance or achievements expressed or implied by such forward-looking statements. Statements preceded by, followed by or that otherwise include the words believes, expects, anticipates, intends, projects, estimates, plans and similar expressions are future or conditional verbs such as will, should, would, may and could are generally forward-looking in nature and not historical facts, although not all forward-looking statements include the foregoing. Although the Company believes the expectations reflected in such forward-looking statements are reasonable, and can provide no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the Company's expectations include, but are not limited to the Company's ability to leverage the scalability and performance of Flagship Solutions, the Company's ability to benefit from the IBM Cloud Migration underway, the Company's ability to position itself for future profitability, and the Company's ability to maintain its NASDAQ listing. These risks should not be construed as exhaustive and should be read together with other cautionary statements including the Company's quarterly report on Form 10-Q for the quarter ended September 30, 2022, and annual report on Form 10-K and current reports on Form 8-K filed with the Securities and Exchange Commission. Any forward-looking statements speak only as of the date on which it was initially made, except as required by law, the Company assumes no obligation to update or revise any forward-looking statements whether as a result of new information, future events, changed circumstances or otherwise. I'd now like to turn the call over to Chuck Piluso. Please go ahead, Chuck.
Chuck Piluso: Thanks Ally, and good morning, everyone. We continue to witness strong revenue growth evidenced by achieving revenue of $4.4 million for the third quarter ending September 30, 2022. This represents a 14% increase compared to the same period last year. Notably, our revenue for the nine months ending September 30, 2022, increased 80% over the same period last year, reaching $17.9 million. Our decades of experience, providing an array of multi cloud technology solutions, properly allocated investments, and highly skilled employees are the foundation to our success that has allowed us to firmly position ourselves as a leader within the industry. I'd like to note that we provide solutions to a multi-billion dollar marketplace. In fact, according to Fortune Business Insights, the cloud managed service industry in North America was $16.3 billion in 2019. And has been growing at a rate of 13.8% compounded annual growth rate, bringing the number to $24 billion by the end of 2022. Disaster recovery is projected to be at $3.6 billion in the U.S. by the end of 2022, which represents 35% of the overall 10.3 global marketplace based on Grand View Research Disaster Recovery Solutions Market Size report. Our Nexus Solutions fit well with our dedicated Internet access or critical component to access cloud services. Further, the steadily growing VoIP market is expected to reach 90 billion worldwide in 2022, with a compounded annual growth rate of 3.1% with 17 billion in the U.S. according to GlobeNewswire Market Analysis and Insights. Our goal is to aggressively penetrate these markets while executing on our strategy of securing high margin recurring, subscription based and managed service contracts. As we see more companies migrating their IBM Power infrastructure to the cloud, we believe this propel our solutions to the forefront of the industry, providing us the potential to capitalize on these growing multibillion dollar markets. We see this migration underway as the future of our industry and we are well positioned to take advantage of these opportunities. Given the migration to the Cloud within the IBM market that I've been discussing over the past few conference calls, currently only 15% of the IBM Power service are utilizing the cloud today, despite over 1 million virtual IBM Power service globally. With limited competition in the market, we have the platform and the talent to capture the migration opportunities in front of us. The company has invested millions of dollars in fixed Tier 3 data centers in the U.S. and Canada. The equipment and technical teams build out solutions. This is not an IBM reseller arrangement, we have the employees overseeing the services and operate our own equipment, cages and racks in the data centers. Today, we service over 350 companies. We compete with just four or five companies that have this expertise, helping companies looking to migrate to the cloud. And yet I believe we do a better job less painful, more efficiently and cost competitively. Our company is a leader in this industry. I would also like to reiterate that the businesses that are increasingly under pressure to improve the effectiveness and efficiency of the information and storage systems, whereby accelerating the migration from self-managed technical equipment and solutions to fully managed multi cloud technologies to reduce cost and compete effectively. Additionally, in today's environment, capital preservation is an encouragement to move from a capital intensive on-premise technology to a pay as you grow CapEx to OpEx model. These trends create an opportunity for cloud technology service providers, and demand for fully managed cloud and cybersecurity services across major operating systems, an addressable market of approximately $48 billion in annual recurring revenue in the U.S. and Canada. Demonstrating our commitment to security, we achieved ISO certification for our CloudFirst in Nexus Division's. This third party certification validates our extensive internal protocols and security measures that ensure our customers data and information has been addressed, implemented, properly controlled in all areas of our organization. We believe this certification will also assist us in accelerating our customer adoption due to the fact many organizations seek this certification prior to implementing certain solutions. We remain committed to adhering to the highest level of security standards for our company, and for the trusted support of our [indiscernible]. Importantly, we are undertaking activities that we anticipate will further improve our margins and profitability, as well as accelerate our growth. This includes realigning management and operations. We have recently centralized service delivery and infrastructure. Our sales engineering teams now can better utilize our client proposal tools and software across combined sales teams. Additionally, we are establishing a new major accounts team that will be responsible for supporting our large enterprise level clients, as well as continuing satisfying ongoing equipment, software and IT requirements. We believe the changes stated will significantly improve our infrastructure solutions and recurring revenue to one time sales ratio, and as a result, will enhance gross profit and margins. At the same time, we plan on expanding our international programs and strengthen our established and successful U.S. sales and marketing programs. To streamline our operations, we are reducing redundant operating expenses within the organizations. We have realigned our management team to further increase our profitability. I'm also pleased to report that we achieved positive adjusted EBITDA for the third quarter of 2022 and believe our initiatives that they have laid out will advance us towards increased profitability and improved margins. On a final note, we have a strong team, a robust proposal pipeline and limited competition. With over $11 million in cash in the bank, we are well funded, well positioned to execute on our growth strategy, improve our margins, increase profitability, all while maintaining leadership position in the industry. With that, I'd like to turn it over to Chris our CFO discuss our third quarter financials. Please go ahead, Chris.
Chris Panagiotakos: Thank you, Chuck. Total revenue for the three months ended September 30, 2022 was $4.4 million, an increase of approximately 600,000 or 14% compared to $3.9 million for the three months ended September 30, 2021. The increase is primarily attributed to the increase of equipment and software sales. This was offset by slight decrease in managed services for the three months ended September 30, 2022. Cost of sales for the three months ended September 30, 2022, was $2.6 million, an increase of approximately 250,000 or 11%, compared to $2.3 million for the three months ended September 30, 2021. The increase was mostly related to the increase in revenue. Selling, general and administrative expenses for the three months ended September 30, 2022 were $2.1 million, an increase of approximately 200,000 or 11% as compared to $1.9 million for the three months ended September 30, 2021. The increase is primarily attributed to the increase in salaries as a result of new sales and marketing staff and increased marketing expenses. Adjusted EBITDA for the quarter was $162,390 compared to adjusted EBITDA of $104,985 for the same period last year. Net loss attributable to common shareholders for the three months ended September 30, 2022 was $245,619 compared to net income of $135,630 for the same period in 2021. We ended the quarter with cash and cash equivalents of $11.3 million as of September 30, 2022 compared to $12.1 million at December 31, 2021. Thank you. I will now turn the call back to Chuck.
Chuck Piluso: Thanks. Thanks, Chris. I'd like to open it up right now for some Q&A. Any questions that we may have?
Operator: [Operator Instructions] Your first question for today is coming from Matthew Galinko at Maxim Group.
Matthew Galinko: Hi, good morning. Thanks for taking my questions. Can we start off with what the pipeline today looks like for SaaS recovery and cloud infrastructure looking forward?
Chuck Piluso: Hi Matt. Yes, I can go more detail on that. We have around approximately $20 million in the sales funnel. And so when we look at the sales funnel, we look at it as total contract value. So this approximately $6 million or so and one type of one time charges that could be IT services, equipment and software, and approximately $14 million total contract value. And if you remember that previous calls, I revealed that we usually get a 36-month term contract, it can be sometimes 12 and as high as 60 months, but I would say on average 36 months. So if the number that occurs the most, the mode is $3,000 a month. You know, that's how we'll come up with that $14 million in sales proposals. So a quick number is to kind of divide that by 36. And you'll see what we're working with. But usually we try to keep it around that level. You know, most of the times we won't lose this very few competitors. In most cases, people are asking for proposals and quotes. And then what ends up happening is they're not ready to do it yet, but a gathering budgetaries so actually in our sales force, we rated - from a quote to negotiation of an agreement to a win. So, overall the proposals outstanding today, $14 million in total subscription recurring.
Matthew Galinko: Got it, thank you. And I guess the follow-up to that is are you seeing any changes to customer behavior in terms of how they structure deals, how they approach cloud versus premise? As we've seen, you know, the capital market environment change and, you know, the macro environment change?
Chuck Piluso: We're seeing larger deals come in actually, you know, it's, you'll see some deals that come in that might be 1,000. But we're seeing deals that could range from $12,000 to $18,000 in monthly recurring revenue that are being proposed. I don't want to go through too much detail on that. But we are seeing an uptick. We had approximately 6,000 with so organic searches off of our CloudFirst division. And it resulted in 100 leads that are being worked by the sales organization. So yes that's looking, at this point, what we need to do is, is increase that by we're in the process of hiring salespeople, but just from the lead flow, it's pretty effective to be able to get leads and, and work those leads and convert into proposals and sales. So the actual numbers as relates to the economy, I think people are questioning whether they should refresh their equipment on premise, versus, go with a company like ourselves. Remember, keep in mind these systems, we don't compete with AWS, Google or Microsoft, these systems on the operating system, some of them have the actual tools, where the applications have been custom developed. So that wasn't a solution so fast for them before, they may have migrated all their Intel over already. So now, we're seeing I think, this uptick, and this lead flow coming on because they realized the cloud is secure, possibly where ISO and that is seeing that and feeling comfortable. And I believe that they were evaluating whether they should go put the money into a piece of equipment. And for - and everything that goes along with that, with the staff, watching that equipment and managing it and doing the backups versus coming to us where I believe we do a better job at disaster recovery than someone that's doing an on premise, unless you - talking about Citibank, Deutsche Bank and, and firms like that they do fantastic jobs. But for that mid-range customer, we do an unbelievable job for them for disaster recovery, cybersecurity, and they don't have to spend the money. We charge an implementation fee. That's kind of very reasonable. And we keep them we have a 94% renewal rate. So we're doing something right with that.
Matthew Galinko: Thanks and one more for me before I jump back in the queue, and I probably have more after that. But I'm still don't want to horn [ph] the line. I guess with respect to the funnel for cloud deals, and you mentioned the, I guess the funnel and the leads that you're generating? How confident are you that you're canvassing and finding customers when they're getting to that decision point of, hey do we migrate to cloud or do we do another premise purchase? Do you feel like you're touching all in the cloud opportunities and migration opportunities there are in IBM power or do you feel like there's more you can be doing to further expand that net?
Chuck Piluso: I'm, frankly, I'm never happy and it's never enough. It just my personality, Matt, and I know you follow us and write about us. I will say that we're not doing enough. I think there's tremendous opportunity out there. Cable companies today, the only service they're eventually going to end up with is the internet. And with that internet, they're looking for increased revenue per customer for businesses like hospitals, financial firms, and all businesses they serve. So there is tremendous opportunity, I think, still to increase, and we're only touching on it. We're in the process of hiring some folks, the people that we are hiring though, and where we're getting most of our business today, other than the lead flow, is we work with managed service providers that have sold that equipment, and that they know us, the managed service provider is the trusted advisor for that client. They typically have multiple clients because they have a business. And then with that when the client is ready to look at it, the MSPs are prepared folks that we call channel partners that have been trained by us have the marketing materials from us and with us. We do join calls with us, our sales engineering group and our sales teams. But is it enough? It's never enough we - but we are deploying that capital, the $11 million, we are deploying that so that we can increase our sales organization and also reach into Canada as well on that. Recently, our partner Able-One in Canada was acquired by Quadbridge, which is a much larger organization. We met with them, during an October fest, we were invited up, and they're having all of their folks trained on our services. So that'll increase our reach plus other plans we have in Canada, but we're not doing enough. Frankly, there's just a lot more to touch on. And we have to get it to the point where it's not just the folks that sold the equipment, but companies like a cable company that has these customers, and they can go out and layer off services on to their internet. I don't know if that answers it, but the answer is we'll never do. We're never going to do enough it's just a personality thing for me.
Matthew Galinko: Thank you. I'll jump back in the queue.
Operator: Your next question for today is coming from [Elon Friedman at SKC Capital].
Unidentified Analyst: Hi, thanks for taking the question, good morning. How do you anticipate improving your margins, especially as it relates to Flagship?
Chuck Piluso: Sure Flagship, primarily, their relationships with IBM and a few other large providers. The margins were small leads would come in or do come in from IBM, HCL, Red Hat and organization like that. And these clients would get entertained that they bring in to those services, which are typically 20% to 35% margin on that. So we're redirecting all of the events and flagship has had - they have a great director of marketing and has done a fantastic job with many events throughout the United States over the 15 months since we purchased Flagship. So we're working with Director of Marketing and moving that - some of those events more towards not introducing IBM's cloud, but now our cloud, our infrastructure, our disaster recovery. So that movement of 20% to 25%. And it could be higher to 35%. We're hoping to see more of the 50% margin products introduced to the folks that are attending these events. So it is a part of our marketing plans that we're putting in place for 2023. So I would say that that's one way of improving margins. Also, Flagship has a data center in Miami Chuck Paolillo, our CTO along with, you know great staff at Flagship and also CloudFirst, we're going to be migrating that data center to one of the six Tier-3 data centers we have throughout the United States with a four in the United States. And we've also centralized operations between Flagship and between CloudFirst, and under Chuck Paolillo, the CTO. And with that, we believe that, let's not go add someone so fast to it, let's see what the talents are in the organization to be able to see who can cover that. And we're uncovering some of those things today. Although, we need to add, if we're going to continue to grow, we need to operate as we call service delivery and infrastructure. We'll need to add to that. But right now, the situation is you know, Flagship could be using some contractors. And looking at those numbers Chuck Paolillo, we'll see whether we should hire an employee that's more cost effective. So I would say on centralizing operations, Miami data center and moving these marketing events, to not say that we're selling IBM cloud, but selling our own cloud where we have millions of dollars invested in the six data centers. We're also introducing as well, continuing the marketing programs will continue for cybersecurity and other IT services. But we're not going to bring in IBM and sell their cloud when we know we have greater than a 50% margin. And that's something that we aren't just not doing any more, frankly. I hope that answered the question on margins.
Unidentified Analyst: Yeah, thanks.
Operator: Your next question is coming from [Ryan K at RKS Capital Partners].
Unidentified Analyst: Hi, thank you, thank you for the questions today and appreciate your time on today's earnings call. Could you comment a little bit more? You've touched on quite a bit about initiatives related to the sales strategy and sales pipeline as well as improving margins. Could you comment a little bit more give more color to timelines as to when some of these initiatives may materialize?
Chuck Piluso: I think there's - if we were to look at things on a per month basis, I believe we'll start seeing changes if it was December, but for the most part, I think that it will be the first you know, first, second and third quarter. I think it will take us two to three quarters to get to where we really want to be on it and having everything matched out. Chuck Paolillo just took over, all the service delivery just you know, a month or so ago and working through that with the staff. So I would say it will take some time you know on that. When you're talking about sales funnel, sales organization, we're going to be adding to the organization that's an increased expense. But we want to ensure that we're not burning cash, we want to be able to grow from, you know, a profitable baseline on it. But in adding - individuals that are going to focus on expanding our channel partner program, that will get expensive for a little while. But what ends up happening is to these managed service providers that become channel partners, which today is a primary way that CloudFirst sells. They have the customer base. So if their client is looking for cloud, where in their given those proposals, and on top of that we're handling the leads, in most cases directly, sometimes we pass them out to the channel partners. But we need to increase from the 50 active channel partners we have today, we need to double that. And we're going to be hiring to be able to do that. So on the - sales funnel, it continues to grow, some fall off. And when we say fall off, it just means they're just not ready at that point, we have - we'll consider a definition for a qualified prospect. And there's, all sorts of ratings within sales force that Hal Schwartz is the President of CloudFirst has put in place. And that's actually being rolled out across both. It's at Nexus already, but its needs to now roll out to Flagship and Flagship folks are, you know, anxious to have that all combined as well. So we can really take a close look for forecasting purposes. In the future, we hope to give some guidance. And as we start nailing this down a little bit more with sales force, and pulling that together, I think we may be able to do that. So sales force will grow, they'll be focused on managed service providers, channel partners are timeframe, basically, I would say two to three quarters to really see that that change. So I'm talking about improved in EBITDA margins is one thing, but I believe we'll start seeing this gross profit margin start to improve possibly in two quarters.
Unidentified Analyst: Well, thank you, that gives me a lot of good context. I appreciate the insight and all the transformative growth opportunity and strategy sort of makes sense. That's my question. Thanks so much.
Chuck Piluso: Thanks Ryan.
Operator: Your next question is a follow up question coming from Matt Galinko.
Matthew Galinko: Hi, thanks. Hello, again. With respect to the changes you talked about today, are we going to see any one time cash or non-cash in the fourth quarter or sometime in the early part of 2023?
Chuck Piluso: Are you referring to cash because we're - to raise capital or you're talking about, let's say, a large equipment sale, which you're referring to?
Matthew Galinko: Oh I'm talking about the realignment of Flagship strategy, management and the organizational structure are there any costs related to that?
Chuck Piluso: Not that we've identified at this point, we have not identified any situations that would cost us cash today.
Matthew Galinko: Okay, great. And then anything you could share about the end markets that you're seeing, changes or increased decreased traction with, where are you seeing activity?
Chuck Piluso: Well, companies are recycling, they're on the, you know, three to five year recycle mode. So some of those very large accounts that we have, that are related to equipment sales, and software renewals, that continues with the existing accounts with the proposals that we have outstanding, hopefully, to close in this quarter. So the folks that buy equipment, they'll continue to buy equipment based on their cycle. And as to leads coming in, on subscription based - that just continues as a steady flow. I don't think that the end of the year accelerates that at all, for the most part. Because it takes several months to migrate someone's cloud infrastructure onto - our cloud infrastructure from on premise, disaster recovery is a lot faster. So it's really when the company is ready to kind of do that. There's no race, that someone's going to say, I need to do this immediately, unless something went on, unusual in their environment. We hope to close out some equipment sales that folks may have budgets this quarter, to be able to do that.
Matthew Galinko: Got it, thank you. Maybe just last one on the cost side, I saw that your SG&A line was lower sequentially and sort of lower than a one over the last three quarters in the third quarter. What changes - were there any specific changes that resulted in the lower SG&A expenses quarter? And is that a number that you'll reinvest into or how should we think about that number?
Chuck Piluso: I'm not sure, are you saying because SG&A went up is that what you're referring to?
Matthew Galinko: So it went down sequentially at least if my model is correct. I think you were at about $2.6 million in the June quarter and $2.1 million in the September quarter. So I was just curious, you know, why the dip sequentially?
Chuck Piluso: Well, a lot has to do with commissions, the commission, when you when you start seeing that when you have more new sales come in, you'll see that or software renewals, you know, the account executives are paid commission when a software renews on that. And if you see equipment sales, you're going to see commissions being up. And that's because also the sales engineers, and the account executive or the channel partner has commissioned that relates to that. So if there's less potential sales that are tied to, an account executive, a sales engineer, it could vary with that, Matt. So commission, but as to the salaries I would say, we did have, I don't believe in the second quarter, we had any reductions there. I would say that that would be more in the third quarter that we had some reductions in headcount from some folks that are project management, things like that. But I would say commissions, and minor when it comes to - when it comes to headcount reduction.
Matthew Galinko: Okay thank you.
Chuck Piluso: I have to look at it a little closer to give you an exact answer, but typically, it relates to either some reductions we did in headcount or commissions, and commissions, it's more likely a larger part of that.
Matthew Galinko: All right, that makes sense. Thank you.
Operator: There appear to be no further questions in queue. I would like to turn the floor back to management for any closing remarks.
Chuck Piluso: Okay, thank you. To wrap up, we've established ourselves as a leader within the industry. We had continued to generate strong revenue year-over-year. We are focusing our efforts on high margin recurring subscription based cloud and managed service contracts, as we believe it's the future of our industry. Given our initiatives, our continued execution and knowledgeable team, we are well positioned to further penetrate this market. I look forward to providing meaningful updates to the shareholders - as developments unfold and thank you all for your questions today. And thank you for joining. Have a good day.
Operator: Thank you, ladies and gentleman. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.